Operator: Good morning. My name is Nick and I will be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy Corp. Third Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. John Rogers, Vice President of Investor Relations, you may begin your conference.
John Rogers - Vice President, Investor Relations: Great, thanks Dick and thanks everyone for listening in to our third quarter conference call. I will remind you that today’s call contains forward-looking information, so please refer to our Quarterly Report released this morning and to other materials filed on CEDAR and our website for related cautions and assumptions. I am glad to get that out of the way. Okay, joining us today is of course MEG’s CEO, Bill McCaffrey as well as VP of Supply and Marketing, Don Moe; Investor Relations Director, Helen Kelly and also for his first call our recently appointed, not so recent, couple of months now but our recently appointed CFO, Eric Toews. So please join me in welcoming Eric. With that, I will turn it over to Bill to talk about some of the milestones achieved this quarter and also our long-term growth strategy. So go ahead, Bill.
Bill McCaffrey - Chief Executive Officer: Well, thanks John and good morning everyone. And I’d also like to extend the warm welcome to Eric. We are very fortunate to have Eric and his substantial experience he brings to the company. So welcome aboard Eric. When we look at our Q3 results, many of which are in record territory. I think what we are really seeing is a reinforcement of our overall strategy. Broadly, that strategy is continuing to drive towards higher production levels through a combination of major project expansions and through our RISER initiative, which is being implemented on each phase. At the same time, we are continuing our focus on low operating cost and implementing strategies that keep our marketing options flexible. Our marketing strategy is focused on achieving the highest netbacks we can while working on to substantially reduce the volatility of light heavy differentials on our sales pricing. And of course, these strategies are aimed at driving towards higher cash flows through the development of economic projects supported by a prudent financial strategy. So let me talk a little bit about some of these key points. And I think what I will do is I will start off with RISER first, because it demonstrates – it’s really a demonstration of the importance of technology. And second because of the impact of RISER is becoming visible with 2013 versus 2012 production up nearly 20% year-to-date. From a big picture viewpoint, we are definitely seeing the ongoing impact of technology across the North American energy industry. And although a lot of the attention is currently focused on tight oil plays, technology and innovation are also very much at play with MEG. It really is core to our strategy. We think about it a little more than a decade though we saw the commercial launch of SAGD, which has since opened up access to huge new resources. Now, we are seeing the next wave of in situ technology development. And MEG is very proud to be part of that wave with RISER and its underlying eMSAGP technology. The impact on our business is transformational with higher production, improved capital efficiencies, lower steam oil ratios and lower operating costs per barrel reduce greenhouse gas intensities and we believe higher resource recoveries. Together, these impacts set the stage for world-class returns enabling us to be competitive with and in most cases exceed returns available elsewhere in the industry. RISER is delivering in all these areas helping to drive production to record levels in Q3 while also helping drive down related operating costs. And net operating costs below $10 a barrel is a tremendous achievement that our team is rightfully proud of and will continue our efforts to drive towards even lower cost. And as we continue to rollout RISER to Phase 2, we are seeing consistent or even slightly better results than seen on the initial pilot. With the majority of the capital work for Phase 2 RISER now in place, the remaining investment is largely focused on completing tie-ins and preparing for startup of the infill wells, also injection of non-condensable gas to displace steam in existing well pairs and the redeployment of the freed up steam to new well pairs. The results continue to strongly support our plans to implement an enhanced RISER initiative on Phase 2b and we are in the early stages of defining these expanded initiatives. Focusing on Phase 2b for a minute, I have to say that we are very excited to be at the start line of what we believe will be a significant ramp up of production. I am very pleased to report that the first steam injection to the Phase 2b wells began in Q3 and we are going to continue to ramp up steam volumes over the next several months. We have also been able to take advantage of interconnections with existing facilities to advance the commissioning of the oil side of the 2b central processing plant. And this is in advance of the production from the 2b wells. Now, while we are in the early stages of the overall commissioning process, initial indications are that the plant is performing very well. We believe we remain on track for first oil from Phase 2b in Q4 of this year. In terms of an outlook for the ramp up of volumes, at this stage, we feel good about maintaining our guidance of reaching 80,000 barrels a day in early 2015 from our combined Phase 1, 2 and 2b production. And with 2b commissioning ahead of schedule and the continuing strong performance of RISER in Phase 1 and in the early stages of Phase 2, we now anticipate that we will be in the upper half of our 2013 annual production guidance at 32,000 to 35,000 barrels a day. Current results also support our exit guidance of 37,000 to 43,000 barrels a day. And we believe that ongoing strong performance should keep us in the lower half of our operating cost guidance of $9 to $11 a barrel. So it’s fair to say that we like the performance and progress we have seen in the upstream side of Christina Lake in terms of both the operation and our investments in production growth. And as we follow our barrel from the wellhead to the markets, we are also seeing good progress with the implementation of our marketing strategy, which is aimed at bypassing pipeline congestion to achieve world prices for every barrel we produce. And I would also note that we have aligned the timing of our production growth plans with our market diversification plans. Though simply put, as production ramps up over next year so do our marketing options. And to provide update on the marketing strategy, I will now turn it over to Don Moe, our VP of Supply and Marketing.
Don Moe - Vice President, Supply and Marketing: Thank you, Bill. Narrow differentials in the third quarter have helped to drive record highs in cash operating netbacks and related cash flows. While differentials have moved in a positive direction in the third quarter, our objective as Bill mentioned is to mitigate the volatility that is currently part of the pricing equation by connecting MEG’s barrels to world prices. To that end, we are working to create a floor price for our production by expanding our marketing options and directly controlling the cost of transportation to those markets. This will involve maintaining access to traditional markets while keeping our transportation folks flexible, so we can quickly adapt to changing market conditions and opportunities. We have been working on the various components of the strategy over the last few years and we are now in a position to tie these pieces together. Along these lines, we have completed and are currently commissioning MEG’s 900,000 barrel Stonefell terminal which is at the hub of our hub and spoke marketing strategy. We have leased 18 barges, they are built and in the water on U.S. Inland Waterway system now. Each barge can move between 20,000 and 30,000 barrels through refineries anywhere from the Midwest to the U.S. Gulf Coast. And in Q3, we began to broaden these markets with barge delivery of our product plans. On the rail side, Canexus rail-loading facility is nearing completion and we are now connected to that facility directly from our Stonefell terminal. The Canexus terminal is setup to load unit trains large, fully dedicated trains that represent a substantially faster and more cost-efficient option compared to the smaller manifest trains that have traditionally been used. Once the Canexus terminal is operational, MEG’s Stonefell and proprietary pipeline system will be the first pipeline supply connected to it. And that in turn will be the first direct wellhead to unit train loading facility in Canada that is capable of moving drill bit to a variety of North American markets. We believe the combination of wellhead to unit trains will fundamentally strengthen the economics of oil by rail and we will continue to improve MEG’s optionality towards cost effective market access. Through a combination of rail and barge and the addition of new pipeline capacity that we have secured on the Flanagan/Seaway pipeline system due for start at the mid-2014, we will have the flexibility to reach a variety of customers in traditional and new markets. Now I expect that some of our listeners will have many questions about the details of these arrangements, but lot of that information is commercially sensitive. For now I can say that as we continued to hone this strategy in Q4 and into 2014 and beyond, our pricing should move gradually towards world prices with similar crudes less managed and controlled operations – transportation costs. That should significantly reduce or mitigate market differentials and reduce pricing volatility. With that I will turn it back to Bill.
Bill McCaffrey - Chief Executive Officer: Well, thanks Don. And to tie this back to my earlier comments on our producing assets, I would underline that this is all part of one continuous strategy. The goal is to match the lowest cost of production with the highest market price and to align our production growth with extended market reach. These two bookends combined with growing production volumes should translate into dramatically higher cash flows. And on the topic of cash, I will now ask Eric to provide a review of our financial position.
Eric Toews - Chief Financial Officer: Thanks Bill. As an outsider looking in and now as an insider, it’s always been clear that while MEG’s plans are ambitious, the financial strategy and aligning those plans has been conservative and has been shaped and underpinned by an exceptional resource base. As noted in our quarterly result release MEG recently closed an offering of $800 million of senior unsecured notes. The structure of this debt offering like all of our long-term debt is specifically designed to support our financial strategy of minimizing financing risk to our ongoing development plans. It was time to be in place prior to major capital work in this case our 2014 capital program, it is covenant light in structure with no principal repayments until 2024 when MEG’s cash flow is expected to be significantly higher. And as maturity is staggered relative to our other long-term debt maturities MEG doesn’t have meaningful principal repayments until 2020, once again in alignment with meaningful projected increases in cash flow. Net proceeds from our recent financing together with cash on hand at the end of 2013 and expected 2014 cash flow will be used to fund our 2014 capital program, most of which would – will be directed to future growth beyond our early 2015 80,000 barrel per day target that Bill mentioned earlier. We are still reviewing our 2014 capital budget and outlook, so while I can’t provide more details today, we look forward to discussing these plans as normal in December. However, I will say that with the operational and strategic successes Bill and Don have touched on this morning, we feel confident about our financial position going into 2014.
Bill McCaffrey - Chief Executive Officer: Thanks Eric. Well, in summary, I would reiterate that this past quarter truly reinforces our long-term strategy. We are well positioned for profitable growth and we will continued to build on Q3 successes, specifically our capital supply and operating costs are among the lowest in the industry and we will continue to work towards lowering them further. Our production volume increases from RISER and the ramp up of Phase 2b are focused on growth of nearly 140% to 80,000 barrels a day by early 2015. Our growth profile is expected to continue as we advance future phases and continued to leverage technology to achieve low cost interface production increases. Our marketing strategy, we will continue to target world pricing for every barrel we produce with an emphasis on significantly mitigating price volatility. And we will work to maintain a conservative financial foundation as all of the pieces of our strategy contribute towards significantly higher cash flows that help to support our future development plans. We said that we see this year as transformational and I believe we are seeing that transformation happen. And so to wrap it up it’s a very exciting time for all of us at MEG and we are very pleased with the results of this quarter. I will now turn it back to John to open up the line for questions. Thank you.
John Rogers - Vice President, Investor Relations: Great, thanks. Thanks Bill and Don and Eric for those comments on our third quarter. We will now turn it over to the audience for questions. Once again as we have done in the past and as Helen I will be available after the call for your detailed modeling questions so we would appreciate if everybody would keep their questions to more of a strategic level rather than a detailed modeling question. I think Helen and I could handle those easier for you after the call. So with that Nick, why don’t we open up to questions?
Operator: (Operator Instructions) Your first question comes from Mark Friesen from RBC Capital Markets. Your line is open.
Mark Friesen - RBC Capital Markets: Thanks good morning. Just a few quick ones, nice to see Phase 2b on schedule, didn’t see anything in the release regarding the – where the CapEx has ended up with Phase 2b, could you make any comments about that?
Bill McCaffrey: Sure, we think we will be right within the budgeted range. We typically use a plus or minus 10% range on that Mark and we think we are going to be well within that range. I think if I try and add a little color to it, I would say that the differences that we would see from dead center of that range are largely due to our ability early on to estimate materials and things along that line. And the other thing that we would have seen along the way was some productivity challenges which we managed very well. Again we are well within the range of the estimate. I think one thing that’s worth noting now as well is that we really didn’t see a lot of inflationary pressures on this phase and that was very pleasing to us, so all-in-all very, very pleased with the outcome.
Mark Friesen - RBC Capital Markets: Great, thanks for that color. Can you be a bit more specific as to when the steam injection started in the third quarter?
Bill McCaffrey: It’s a transitional thing, so I don’t want to be too specific on it Mark, but it is well within the third quarter. And what we don when we do start steaming is we will start steaming a couple of wells at a time and then we continued to add additional wells as we get comfortable. So we got to warm up all the lines to start with and then see that the plants are operating well and then we continue to add wells. And so what I would say right now is that the performance of the water and steam treating side of the plant are working excellent. We – you would never know in this – until you start them as to how they are going to perform, but they are doing very, very well. And we are also doing very well on the oil side of it. We think it’s kind of the unique in the way that we have been able to connect Phase 2 to 2b and move volumes from Phase 2 into 2b in order to commission it ahead of when we get those barrels. And I will say that to-date we have been able to move 24,000 barrels a day through the Phase 2b plant with no operational issues on the oil side of it, which is very, very exciting for us. And what we are really doing is just moving the barrels from Phase 2 to 2b, but it’s important because it does tell us because there is a sneak preview to the reliability of that plant. And right now we think we have got one.
Mark Friesen - RBC Capital Markets: That’s really interesting. Maybe on the steam side can you quantify it maybe a little bit differently in terms of either how much steam from 2b is being generated relative to capacity or maybe how many wells are currently receiving the steam?
Bill McCaffrey: Yes, it’s changing daily on it Mark that may be more of a modeling question, but I would say that we are capable of putting out 14,000 tons a day right now. We are circulating that to a number of wells to warm them up. So you will start off by warming up wells with lower amounts of steam than you – as you get the wells heated or the reservoir heated between the producer and the injected and you will convert them over and that usually takes about three months. So we do have several wells in that process right now, but they are at various stages in it.
Mark Friesen - RBC Capital Markets: Okay, switching over the RISER a little bit can you just remind me how many infill wells have been drilled and maybe how many of those are currently on production?
Bill McCaffrey: We have 37 infill wells that have been drilled. We currently have 14 on production and we are steaming six more right now and that’s just all part of an overall process. So just to think of it as the total basket of wells that are being systematically put into play, most of the work right now is associated with tying in the wells and then warming them up if necessary and then put them on production and that will continue over the next little while.
Mark Friesen - RBC Capital Markets: And which well pairs on 2a are currently receiving the non-condensable gas co-injection?
Bill McCaffrey: Probably, it’s too detailed for this right now. I will leave that one for later on here, Mark.
Mark Friesen - RBC Capital Markets: Okay. Just one more question then. I noticed that the corporate average blend ratios have been decreasing over the past couple of quarters, can you explain how that’s possible and what to expect with that going forward?
Bill McCaffrey: Little bit of that is seasonality. When you – the blend ratio is a function of pipeline specifications, so in the winter time, you have to add more diluent than you would in the summer time, because the temperature at the ground is cooler. So you will see variations that relate to seasonal aspects of it.
Mark Friesen - RBC Capital Markets: Okay, so we expect that to kind of ramp up again I guess for the winter. I noticed that you picked up some land in the Heartland region just north of Edmonton there in your Stonefell, I guess, can you talk about what the intended use of that is?
Bill McCaffrey: Well, one of the things we are doing is that is a hub area for us and we do have potential to expand technologies that we have been working on and continue to work on that well, that will ultimately have the potential of eliminating our condensate needs. And that work is still in the piloting phase, but land is precious commodity in that area and we have been able to secure land that is central to all of our future plans.
Mark Friesen - RBC Capital Markets: Okay, stay tuned on that one. Thanks Bill.
Bill McCaffrey: Yes, you’re welcome.
Operator: Your next question comes from Phil Skolnick from Canaccord Genuity. Your line is open.
Phil Skolnick - Canaccord Genuity: Yes, thanks. A couple of questions. Number one, are you done with the oil remover filter addition and if so can you give an update maybe on your current volumes?
Bill McCaffrey: Sure. Yes, the ORF, as we affectionately call it is done – was scheduled for the third quarter. Everything went very well. That was the last piece that we feel we needed to be able to have the capability at Phase 2 of going from 35,000 to 40,000 barrels a day in production, let’s say, it went very well. We feel it has given us that capability. And so we do feel that we are capable of reaching 35,000 to 40,000 barrels a day now on Phase 2.
Phil Skolnick - Canaccord Genuity: Okay, great. And then on the barge side, the comment was made that you did some barging in Q3, I would imagine with differentials being the way they are today that you are looking to do more or you are doing more, any indication of what the netback uptick was per barrel?
Bill McCaffrey: Yes, those are commercially sensitive conversations on it. The way I would look at our whole marketing strategy right now is that we really, there you break it down into two general themes. One is going to be securing the assets and then the other one is doing the deals. And right now, we have got the 18 barges in the water. We are capable of moving our barrels to the Gulf Coast and we have done that in the third quarter. We are pipeline connected to Canexus’ rail facilities. And we are just waiting on Canexus to finish their terminal. We have gone out to their location and we think they are making great progress in that. And so we are looking forward to that being complete. Until that’s complete, we don’t have the operation of rail to use to offset differentials. And then the third securing asset bundle is going to be the Flanagan one, which is scheduled for mid next year. And so we are going to use all of those tools to mitigate differentials as they come into play. When we come to the basket of doing the deals, you need to have the assets in place and you need to have the production to be able to do the deals. Nobody wants to do a deal. In some way, they can’t get there or doesn’t have the volumes obviously. And so I think it’s healthy to think of this as a process that we are continuing to advance. We are very, very pleased with the advancements we have made and we are just putting and have to have other people in some cases, put the other components in place such as Flanagan and the Canexus terminal, but it’s all going very well that way.
Phil Skolnick - Canaccord Genuity: Okay, thanks. That’s it from me.
John Rogers: Thanks Phil.
Bill McCaffrey: Thanks.
Operator: Your next question comes from David Nicol from Morningstar. Your line is now open.
David Nicol - Morningstar: Hi, good morning. Thanks for taking the question. Just you mentioned, excuse me, that you can’t really use rail options until Stonefell is operational. I am just wondering if you could – if you give a little bit more color as to when in 4Q we could be looking at that happening, is it towards the end of the quarter and if so would you expect rail to be able to kind of kick in at the same time that the terminal starts up? Thank you.
Bill McCaffrey: Yes, it’s actually Stonefell is doing very well. Stonefell is operational now. We are still commissioning it, but we do have components of it operational including the oil side. So what I was referring to is that we are pipelined, not only is it operational at the oil side of it, but we are also pipeline connected to Canexus. It’s Canexus’ facilities, the rail facilities that are not yet operational. And what they are indicating is that they will be operational somewhere in Q4. And I don’t want to put a date to their programs, because it’s not ours, but as I said we have been out there. I personally have gone out there and looked at it. And what I have seen it looks like they are doing a good job.
David Nicol - Morningstar: Great, thanks for the clarification there.
Bill McCaffrey: Yes.
John Rogers: Thanks David.
Operator: Your next question comes from Mike Dunn of FirstEnergy. Your line is now open.
Mike Dunn - FirstEnergy: Hi, good morning everyone. Two or three questions from me if I may. First, wondering if you gentlemen or ladies could talk about to any of the initiatives you are looking at to reduce the amount of diluents that you put in the typical railcar I guess?
Bill McCaffrey: Sure. I will take that one on. We are looking at a couple of things actually. If we are able to move by rail which we will be able to shortly, then that gives us the opportunity to remove diluent from the blend and to ship heated bitumen by rail. Now we are assessing that and we haven’t made a decision yet as it has to go to our board for next year, but those are some of the things that we would contemplate. So if we do have which we will have rail in place, then that does become an option. The other thing we are looking at is the advancement of proprietary technology that we call HI-Q that will allow us to remove the condensate and modify the barrel in such a way that you could pipeline the crude to markets without diluent. That will allow us to do that on both pipe and barge. So maybe we have got very proactive in this area and we are just doing the assessments of the different components. One of them is fairly well established and that’s removal of the diluent. That’s standard technology, but MEG is very well-positioned that if we choose to do that, that we have got the ideal setup with Stonefell being there pipeline connected to unit trains. And then we could take that diluent out right in that general vicinity. And that’s valuable because every time we can do something to cut transportation cost associated with us moving to world prices. That improves our bottom line. And as I said, the other one is on the technology end of it and this stage would say that it’s still generally in the research stage, but we are very upbeat on where the progress we have made in that one as well.
Mike Dunn - FirstEnergy: Right. And if you wanted to – if you move to the heated bitumen by rail, Bill is that what would the lead time be from when you decide to want to do that to when you might actually have significant movement with heated railcars?
Bill McCaffrey: Yes, we are just doing that work right now. So I don’t really have a defined time, but it will probably be somewhere around a year now, two years to be able to do that once you make that decision.
Mike Dunn - FirstEnergy: Okay, great. And on I guess I have asked this question before, but just looking for an update you are getting some more of your blend to Gulf Coast now, how is pricing looking relative to Maya? Can you give me sort of a number range $1 or $2 discounts per barrel, any guidance there?
Bill McCaffrey: Yes, I generally say that the refining value of our crude is similar to Mayan crude. And as you get it there, a refiner is comfortable on taking either our crude or Mayan crude. And so adjustments, I don’t want to put precise numbers to it, but we should assume that they are very similar crudes.
Mike Dunn - FirstEnergy: Okay, great. And last one from me, your exit guidance 37,000 to 43,000 barrels a day for the year, the lower end of that do you need any volumes from Phase 2b to hit the lower end of that?
Bill McCaffrey: Not too much. We will use a little bit, but the strength that RISER is definitely adding to it and can hit that could drive us towards that lower end that maybe even higher. So the reality is we would likely have volumes from 2b in this quarter with I say likely we are pretty confident, we will. We are confident we will. And but RISER is also very strong in adding barrels to it.
Mike Dunn - FirstEnergy: Alright, okay, that’s what I thought Bill. Okay, thanks a lot. That’s all from me.
Bill McCaffrey: Yes, thank you.
Operator: Your next question comes from the line of Chris Feltin from Macquarie. Your line is now open.
Chris Feltin - Macquarie: Hey guys. Got in a little bit late on to the call here, but just had a quick question on spending, so hopefully you haven’t addressed it yet, but let’s take here about $1.8 billion of spend through the end of Q3 with budget in that $2 billion range. Just kind of curious if there is upward potential there, it looks like things are winding down on the CapEx side, so just kind of looking for any color you can provide into what to expect for Q4 spend levels?
Bill McCaffrey: Sure. Well, it is a lumpy year in the capital spend as you can see the difference between our first and second quarter versus our third quarter on that. And that’s largely because 2b is done and RISER is largely done, Stonefell is largely done to continue on access. And so we are seeing some lumpiness to it. We have taken the opportunity because of the success of RISER to advance some dollars it might have been in 2014 into ‘13. And we are also continuing on 3a with the continuity of the engineering, because it doesn’t make sense to use the dollars and why you are making the progress on it, stop it and wait for the next calendar year. So there is some adjustments and we are talking moving between calendar years on a little bit, but it’s small scale in the bigger picture of it.
Chris Feltin - Macquarie: Okay, thank you.
Bill McCaffrey: Yes.
John Rogers: Thanks, Chris.
Operator: There are no further questions at this time. I’d turn the call back over to the presenters.
John Rogers - Vice President, Investor Relations: Great, thank you Nick and thanks everyone for listening in to our third quarter conference call. Again, as usual, Helen and I will be available after the call through the day for the detailed modeling questions. I did want to thank everybody for the questions that you asked and hopefully you have your good rest of your day. Okay, thank you. Bye.
Operator: This concludes today’s conference call. You may now disconnect.